Operator: Good day and thank you for standing by. Welcome to the Sportradar Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Rima Hyder, Senior Vice President, Head of Investor Relations. Please, go ahead.
Rima Hyder: Thank you, Michelle. Good morning, everyone, and thank you for joining us for Sportradar's earnings call for the fourth quarter of 2022. Please note that the slides we will reference during this presentation can be accessed via the webcast on our website at investors.sportradar.com. The slides will be posted on our website at the conclusion of this call. A replay of today's call will be available on our website. After our prepared remarks, we will open this call to questions from investors. In the interest of time, please limit yourself to one plus one follow-up. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements, including, without limitation, those regarding revenue and future business outlook. These statements involve risks and uncertainties that may cause actual results and work [ph] to differ materially from our forecast. For more information, please refer to the risk factors discussed in our annual report on Form 20-F and the Form 6-K furnished with the SEC today, along with the associated earnings release. We assume no obligation to update any forward-looking statements or information, which speak as of their respective dates. Also during today’s call, we will present both IFRS and non-IFRS financial measures. Additional disclosures regarding these non-IFRS measures, including a reconciliation of IFRS to non-IFRS measures are included in the earnings release, supplemental slides and our filings with the SEC, each of which is posted to our Investor Relations website. Joining me today are Carsten Koerl, our Chief Executive Officer and Ulrich Harmuth, our Interim Chief Financial Officer And now, let me turn the discussion over to Carsten.
Carsten Koerl: Thank you, Rima, and good morning to everyone. Let me say upfront that Sportradar made excellent progress throughout the year. We exceeded our initial and revised revenue guidance and delivered strong adjusted EBITDA performance for the full year 2022, even in face of a more challenging macroeconomic environment. We believe our business model is resilient, coupled with a strong embedded growth, which we believe will deliver strong results in 2023 and well into the future. Speaking of strong results, we delivered full year 2022 revenue growth of 30% and adjusted EBITDA growth of 23%. Full year revenue growth was again driven by our rest of the world betting business at 26% and the US segment, our fastest-growing business, coming in at 78% growth for the full year. In Rest of the World segment, MTS led the way with very strong year-over-year growth, primarily driven by the increase of the trading volume with our largest existing customers. We continue to enhance this key product to increase automatization and drive higher trading margins. Our US business demonstrated the strength of our business model and market position, a key market for our long-term growth. We signed a multiyear agreement with FanDuel as their preferred data and odd supplier, leveraging our long-term partnership with the NBA. We also continue to grow our technology solution and fan engagement with key partners like MLB and NHL. We are pleased to become the official streaming partner of Hard Rock Sportsbook and added important new partnerships with both season, US as well, admits unlimited additionally. We are named as the data service provider of the year by American Gambling Awards, a testament of our strong capabilities, which we provide to our clients. We believe that innovation is the core of our differentiated value proposition, and we will continue to be integral part of our ability to deliver winning solutions to this growing global market. To that end, we presented the first end-to-end AI-driven betting solution for Table Tennis at ICE 2023, the biggest global betting exhibition. Using computer vision technology to create betting products and mixed reality experiences without any human intervention. The reception of this innovation was exceptional, and we believe this is the first of many steps in this direction. We will provide some more details a little later on in this technology. We also accelerated the development of our product portfolio by integrating acquisitions like Vaix into our core betting offering. Vaix enhances our MPS offering, this is innovative AI engine, which enables customers to better and more quickly understand the likely profitability of players. Our early adopters have demonstrated meaningful financial and operational improvements, which we believe will translate to additional growth in GGR and other underlying value drivers for the business of our clients. For example, applying Vaix recommended suite across the entire user experience, operators reported an 8% to 10% increase in monthly GGR, as well as higher fan engagement retention during the personalization tools. While personalization clearly post player engagement, it also drives diversification of offering. We have observed an 80% uplift in users interacting with a homepage when personalized, while also betting on greater than 23% likes than in the normal benchmark. Vaix contributed to strengthening our core betting product, which was one of our goals for 2023. Coming now to slide number five. You may recall that we articulated four primary goals for 2022. They were, first, growth of our core betting products, second, develop and grow the US business, third, integrated sports solutions, and fourth, investing to our people and technology. We successfully achieved these goals for our 2022 results and, therefore, reflected in the accomplishments. Slide number six. In growing our core betting products, our Rest of the World betting segment has a full year-over-year growth of 26% and remains the highest contributor to our profitability with 47% adjusted EBITDA margin. The largest growth driver in Rest of the World betting segment was migrating customers up the value chain through our managed Trading Services or MTS. MTS revenue grew 56% for the year as a result of a sharp increase in trading volumes and continuous improvement in our trading algorithms. When annualizing our Q4 trading volume, we traded €19 billion which is comparable with the liquidity of a top 10 global betting operator. This is an increase of 84% compared to the same period in the last year. In 2022, we also started the project to improve our trading performance increasing usage of AI for our liquidity trading. We implemented a new AI algorithm for soccer, our biggest betting sport and A/B testing has shown an average an over 6% increase in GGR. We saw a strong regional growth in both Latin America and Brazil and Asia driven by India. Sales growth in both countries was nearly 300%. We are excited about our opportunities in these emerging markets. In the US, we have maintained our high-revenue growth and importantly, generated positive adjusted EBITDA for the second quarter in a row. The US segment revenue grew close to 80% for the full year with strong growth across our product portfolio including betting, advertising, digital media, and professional and sports solutions. This portfolio allows us to serve a diverse set of clients and our US market continues to legalize sports betting. And the growing market adopts more in in-play betting with a revenue share model which allows us to benefit as the market matures. We signed major agreements with betting operators such as FanDuel and increased wallet share with our media clients such as Yahoo. A prominent mentioning for us when FOX Sports used our data and statistics during the Super Bowl. This is a relationship which dates back in 2018. We are pleased to provide live data and stats to the FOX Sports team to enhance their broadcast and help engage the roughly 113 million viewers. We're also excited about March Madness which kicked off yesterday. This will be our eighth year partnering with CBS and their national broadcast, which will reach more than 11 million views per game. With the acquisition of Synergy and InteractSport in 2021, we doubled down on product automatization through the use of AI and computer vision. As mentioned earlier, we successfully present a full AI-driven table tennis product using computer vision at ICE 2023. This product is already being used by some of our clients. We had two players there playing table tenants, while our computer vision technology automatically collected video content and deep data, transforming the content real-time into a viewing experience. Our algorithms created fast match predictions and visualizations that were transformed into the digital assets capable of incorporating dynamic content into live stream such as real-time betting, data and arts, and performance insights for virtual advertising. In addition, the seamless automotive process allowed us to unlock new betting opportunities like quick bets, micro betting formats, that enables bettors to place bets within the table tennis rally. For example, on a number of bounces or the last player hit the ball with rapid playing cycles of less than one minute. This fully automated product is only the beginning with expansion opportunities across the global sports landscape. We are confident that technology like Computer Vision will allow players, team sports fans and bettors to understand and engage with the sport on a much more detailed level. In fact just earlier this week, we were selected as the successful bidder for the global Association of Tennis Professionals, ATP data and streaming rights starting in 2024, as a result of our commitment to product innovation development in advanced technologies such as Computer Vision and AI. The capabilities and global scale of our offering will provide betting operators innovative best-in-class products and tech-savvy sports tennis fans a richer more immersive experience while also safeguarding and upholding its integrity. And finally, our strong performance this year would not be possible without our people who continue to make Sportradar a critical player in the sports ecosystem. We invested into our people last year across content, products, commercial and technology areas to make our company a stronger and more agile organization. Turning to Slide 9. For 2023, our core priorities are; first, further expand our leadership position in core betting markets based on our next-generation trading services. Second, grow into markets like ads media and spot performance. Third, create innovative fan engagement experience based on AI and Computer Vision technology. Fourth, drive operational effectiveness and automatization. And fifth, safeguard the integrity of sport and protect the well-being of its athletes. We will develop these products in close and cooperation with our long-term partners like NBA, NHL, MLB and our key clients. The strength of our business model allows us to grow at a rapid pace and at the same time reinvest some of our operating leverage back into product developments and new business opportunities. Now to the closing remarks. Our strong outlook for 2023 reflects the tremendous global market opportunity we have, our availability to offer more value to our clients through additional high-value products as well as tapping into new emerging markets. For 2023, we expect revenue full-year growth of 24% to 26%, and adjusted EBITDA in the range of €157 million to €167 million. At the midpoint of this range, we would expect margin expansion of 60 basis points from the -- for the full year, even as we continue to invest in technology and innovation. Ulri will walk you through the drivers of our 2023 guidance in his remarks. I will now turn the call over to Ulri to discuss the financial results.
Ulrich Harmuth: Thank you, Carsten, and good morning, everyone. As Carsten already stated, we had a very strong fourth quarter and full year 2022. I'm pleased with the results our teams have delivered around the world. 2022 cap off our first full year as a publicly traded company and was successful on many fronts. Our business proved its resilience throughout the year. For the full year, we reported a 30% increase in revenue to €730 million and a 23% increase in adjusted EBITDA to €126 million. Our revenue exceeded the top end of our guidance, while our adjusted EBITDA was solidly within our guidance range. We delivered these results despite facing uncertain macroeconomic conditions. We saw solid growth across all of our segments, including 26% in Rest of World betting and 78% growth in our US business. In addition, our net revenue retention rate of 119% continues to improve the stickiness of our business model and shows the upselling and cross-selling opportunities we have with our existing customers. From a capital perspective, we repaid our entire term loan facility of €420 million, while generating positive cash flow and ending the year with over €240 million in cash and total cash and undrawn credit facilities of €464 million. Let me now take you through our quarterly results in detail, and then I'll provide you with the full year guidance for 2023. Revenue in the fourth quarter 2022 increased 35% to €206 million versus the fourth quarter of 2021. This was driven by strong growth across all our segments with the highest growth coming from the US. Our adjusted EBITDA grew 64% over the last year, primarily as a result of higher revenues and operating leverage as we remained disciplined with our costs. Our adjusted EBITDA margin was 17%, an increase of 300 basis points over the same quarter in 2021. Now looking at the segment revenue in detail. Our Rest of the World betting revenue, our largest and highest margin segment grew nearly 30% in the quarter to €106 million. This growth was primarily driven by an uptick in our higher value-add offerings, including Managed Betting Services, or MBS. Within MBS, our Managed Trading Services product, MTS, saw record turnover, resulting in growth of 75% for the quarter, driven by a strong FIFA World Cup performance. The FIFA World Cup in November and December of last year was a major event for MTS with trading volume doubling in both November and December versus any other months in 2022. Rest of World betting adjusted EBITDA grew slightly to €46 million. Rest of World betting adjusted EBITDA margin was 44% compared to 56% in the prior year, driven by increased investments in AI technology to improve our MTS product and investments in computer vision technology that Carsten already talked about. For the full year, adjusted EBITDA margin was 47%. Rest of the World AV segment, Audiovisual segment grew 17% to €42 million versus prior quarter. Growth was driven by cross-selling audovisual content to existing data customers and expanding the AV portfolio with existing AV customers. Rest of World's AV adjusted EBITDA increased 20% to €12 million and its adjusted EBITDA margin was essentially flat at 28%. For the full year, EBITDA margin improved by only -- by one percentage points to 28%. Turning to the United States, our highest growth segment. Revenue grew 77% in the quarter to €41 million. We more than doubled our betting business, nearly tripled our ads business and saw approximately 30% growth in the media business, which still accounts for the biggest customer base in the US. The strong growth in betting was driven by growth in the underlying markets, as online betting expanded to more states and betting operators increased fan engagements in more mature states through same-game parlays and more targeted advertising. The US adjusted EBITDA swung to a profit of €4 million. This represents the second consecutive quarter of positive adjusted EBITDA for the US. The adjusted EBITDA margin was a positive 11% versus a negative margin of 33% in the prior year, as a result of the growing scale of the business, despite continuous investments. For the full year EBITDA margin improved to minus 3% from minus 32% in 2021. Turning to our costs. Personnel costs for the quarter increased by €34 million to €81 million, an increase of 72% over prior year in line with our expectations. Personnel costs in the quarter were impacted by one-time charges of €5 million as a result of the management restructuring and €9 million as a result of acquisitions. Over the last 12 months, we increased headcount by nearly 1,000 new employees through organic and inorganic hires. The increase in personnel costs reflects that we did and expect to continue to experience higher labor costs, due to inflationary pressure. Other operating expenses were €35 million, an increase of €8 million, or 28% over prior year. The increase mainly resulted from one-off litigation costs of €13 million. When normalizing for this one-off effect, we saw a decline in operating expenses compared to the fourth quarter in 2021. Total sports rights costs increased by €11 million to €50 million in the fourth quarter of 2021, primarily the result of newly acquired ITF and UEFA rights, and an expected increase in our NHL rights costs. For the quarter, our sports rights grew 29% less than our 35% total revenue growth. We are very pleased to see operational leverage in our business model, which allows us to invest into new products and technologies. Our liquidity remains strong at the end of 2022, with cash and cash equivalents plus our undrawn credit facilities of €461 million. During the quarter, we repaid the remaining €220 million of our outstanding debt. Our adjusted free cash flow as expected was a negative €44 million compared to a negative €23 million in the same quarter in 2021. Cash flow was negatively impacted by €22 million of foreign currency rate changes €7 million of tax prepayments and €5 million of restructuring costs, as well as planned prepayments of US league partnerships. The cash conversion is also impacted by the growing portion of revenue share in our business as evidenced by the growth in our Managed Trading Services and the US segment. The invoicing for this revenue share model is after the service period, whereas our traditional products live data live odds and audiovisual are invoiced prior to the service period leading to an increase in days sales outstanding. Including this impact for the full year, we generated €39 million in adjusted free cash flow, with a cash conversion of 31%. We have started several initiatives to improve our working capital in particular to shorten the order to cash cycle, but also to address other areas like managing the procure-to-pay cycle to further strengthen our cash conversion in 2023. Finally, let me talk about our annual guidance for fiscal 2023. For the full year of 2023, we expect revenue to be in the range of €902 million to €920 million, reflecting annual growth of between 24% and 26%. The primary growth drivers for this guidance are growth in our Rest of World Betting segment as well expected strong growth in the US. For adjusted EBITDA, we are guiding to a range of €157 million to €167 million representing a year-on-year increase of between 25% and 32%. The adjusted EBITDA margin for 2023 is expected to be between 17% and 18% reflecting a margin expansion of 60 basis points at the midpoint. We expect our 2023 quarterly revenue phasing to be consistent with 2022 with the majority of the growth coming in the back half of the year. For adjusted EBITDA, we expect higher year-over-year growth in the first three quarters of the year 2023. As a reminder, the renewal of our NBA deal which took place in 2021 begins in the fourth quarter of 2023. So we expect to see a larger amount of sports rights expense coming in the fourth quarter of 2023, which will adversely impact adjusted EBITDA. Overall, we still expect our sports rights cost to be around 24% of revenues, which is a 2% decrease versus 2022. As Carsten stated we are continuing to invest in new products such as computer vision technology, AI-driven trading algorithms as well as fan engagement products. And at the same time, we are able to expand our margin. This is a testament to our business model and the operational leverage we have from our scale allowing us to reinvest some of our leverage. As we look ahead to 2023, we are excited about our product innovations and the new solutions we can offer to our clients. We remain focused on executing on our growth strategy, maintaining financial discipline and returning value to our shareholders. With that, we are now happy to open the call for questions. Operator, will you please open up the line for questions? 
Operator: [Operator Instructions] Our first question comes from Michael Graham with Canaccord. Your line is now open. 
Michael Graham: Hi. Good morning and thank you, and congrats on the really strong numbers. I wanted to ask about your Rest of World betting business. You had really strong growth there 29% growth in particular MBS growth of 83%. You mentioned some investments in the press release, but I just wanted to get a better understanding of what's driving that growth and what you're doing on the product and technology side to help that business grow faster?
Carsten Koerl: Mike, Carsten here. Thanks for the question. Yes, Rest of the World betting is very strong as we showed this in the numbers. Looking now to the segments and where is the main growth coming from it's lifting the clients of the value chain. So we start with the data products then we are going to the predictive models. And finally, we go into the trading and then into the platform. Looking now to the trading, this is where the algorithms really begin to work. So we are trade based on the tickets, which we get from our clients, that's the liquidity trading. So we are using the clients of our clients to help us to improve this. And we see now signs in soccer trading that this is very significant, 6% that we reported here in the script. So this is something where we will continue to engage more and to work especially now on the other side of the low latency data. As you will see with the ATP deal, we can use now deep Level 3 data from tennis, driven with the tracking system which is there, the same like for the NBA. So we control the latency of this deep data. That's one side of the equation. And the other side is the number of tickets, which comes in, and in the middle sits that machine. This is exciting, because if we are improving the margin only a little bit for our clients it is reflected in a much higher GGR. We have a profit from the share there and this is a product which we want to push in 2023.
Michael Graham: Okay. Thank you, Carsten.
Operator: Please stand by for our next question. The next question comes from Ryan Sigdahl with Craig-Hallum. Your line is now open.
Ryan Sigdahl: Great. Thanks for taking our questions. Two for us. So I want to start on rest of world betting. I didn't quite get exactly the reason for the margin decline in the quarter and the year, but if you could go through that again. And then, secondly, what your margin assumptions are for that segment? And then, my second question is around the computer vision that I'll come back to.
Carsten Koerl: Maybe, Uli you take the one on the margin and the rest of the world betting and I go on the computer vision.
Ulrich Harmuth: Yes. Happy to do so. Yes. Thanks for the question, Ryan. So, as we stated in the script, the rest of world margin, there we operate a highly scalable business model, but we heavily invested into computer vision technology. That was the example that Carsten was talking about with regards to table tennis and that also led us to winning the ATP RFP. And the second part is that we invested into artificial intelligence to boost our trading algorithms to improve our managed trading services. And those two, well, investments into our P&L resulted in the margin decline. But over time, we expect the margin to be between 45% and 50% again.
Ryan Sigdahl: Great. And then, just to follow up on the computer vision, I guess, is this more focused around automating the data capture, becoming more efficient, get better depth breadth, et cetera, there, or is there opportunity to expand that out into broader use cases, fan engagement, et cetera, et cetera? 
Carsten Koerl: It's both, Ryan. So what it is doing is, we are getting deep data about the individual players. Now, with a thing like table tennis, you can translate this directly into possibilities of the two balls are played and make some predictive models, which are working pretty accurate on who might win this ball or who might lose it. So that's a more simple exercise. If you look now to a team sport, like the NBA, it's getting more complicated. You have more players on the pitch. But having that detailed information, of course, will drive better predictive models. And as told before, this combined with low latency, that's the key here, its real time, to get this information, will drive a much better algorithm to control on one hand the latency, on the other hand, we have already the high liquidity from our clients. That's one side, which we can directly put into our best-performing betting product. Therefore we are pretty bullish on this. The other side is, yes, it enables some visualization opportunities, which we are very excited about. And that's the reason why we're very happy that Hawk-Eye won that NBA partnership. They deliver this real-time information and they deliver the wireframes for the players. Around this, you can render a new experience and enrich it with data and export this also in other segments.
Ryan Sigdahl: Great. Thanks guys. Good luck.
Operator: Please standby for our next question. Next question comes from Robin Farley with UBS. Your line is now open.
Robin Farley: Great. I don't know if you mentioned the percent of in-play betting. You talked about the importance of it growing, but I'm sorry if I missed that percentage, if you gave that for the quarter?
Carsten Koerl: Carsten here, Robin. Nice to hear you. So look, we don't report the in-plays on a quarterly basis, because we think it's a long-term development. But like I told in the last call, we see that the US is fairly behind what we see in international markets. Let's say in Europe, we see around about 80% of all bets are in-play in the US. That varies depending on the sport between 15% and 35%. But if we look now to our business and the participation, it's of course much higher when we are coming to real-time data. So at the moment with the current business model, it means that any percentage increase where we see another patient [ph] that it goes from pre-match into in-play that renders for a spot rate of €1.2 million in revenues additionally. And that has practically no costs because we have the deployment systems and the products in place. Does that answer the question?
Robin Farley: I guess. I don't know if you can add any more about sort of how much that opportunity moved in 2022? And how much do you think it will move in 2023, without giving the specific numbers but just maybe on a relative basis?
Carsten Koerl: We see there is a trend on a relatively basis Robin that the US follows the international market. We see more other patient on live betting. But as stated before, we don't report this on a quarterly basis but I'm happy we update you on this also in a separate call and give you some more deeper insights.
Robin Farley: Okay. No, that's helpful. Thanks. And then, just as a follow-up on your guidance for 2023. I assume that is, all of the contract changes that you have announced to-date, doesn't require any additional developments or things to happen that you don't know about today already that you haven't announced. Is that fair?
Carsten Koerl: The ATP deal, Robin is still -- we are selected in the tender process, but we are now in the negotiation for a short and long-form agreement. So this deal is not reflected in the guidance, but that starts in 2024. So there might be some minor costs in 2023 that reestablish the tools and the functionalities there. But that's the only one.
Robin Farley: Okay. Great. Thank you very much.
Operator: Please standby for our next question. Next question comes from Jason Bazinet with Citi. Your line is now open.
Jason Bazinet: Thanks. I just had a question on liquidity actually. I guess, prior to the IPO you guys had about €190 million on the balance sheet. It grew to about €770 million. You exited the year at just under €245 million. Do you think the plans you talked about to improve the EBITDA to free cash conversion will be sufficient to allow you to sort of execute your plan without needing external capital, or is there some risk that if there's working capital movements or FX movements that you might need third-party capital? Thanks.
Carsten Koerl: Uli, that's a question with the bridge for the CFO. I leave this to you that you can explain it.
Ulrich Harmuth: Yes. No, happy to answer that, Jason. So firstly, we did generate a positive cash flow of €39 million in 2022. So the company is operationally cash flow positive. And just as Carsten mentioned like walking you through the bridge, what happened between the end of 2021 and end of 2022. Like at the end of 2021 and as an addition to the number that you have given, we obviously had the IPO proceeds. We started off with a cash position of €743 million. The major impact afterwards was actually that we repaid our Term Loan B exit facility of €422 million that we repaid in the third and the fourth quarter of 2022. So that is a cash outflow of €420 million. Then we had M&A activities of €49 million. We had a joint venture with SportTech that we invested into that took €35 million. Then we repurchased the minority stake that the NFL had in our US entity. That was another €28 million cash outflow. And then we had €39 million of operational cash flow and that ended up with our cash end of the year of €244 million. And we believe that going forward, we will remain cash flow positive. We have a revolving cash -- credit facility in place, that will add more than €200 million additional capital, if we need it. And therefore, we don't think that we for the next 12 months, we need additional capital, certainly not for operations. And also on the M&A side, we don't necessarily expect to make bigger deals in the next 12 months. And therefore, we think that we are good for the next 12 months.
Jason Bazinet: Perfect. Thank you.
Operator: Please stand-by for our next question. Next question comes from Stephen Grambling with Morgan Stanley. Your line is now open.
Stephen Grambling: Hi, thanks. Going back to the sports rights that you were discussing some of the incremental costs I think in the fourth quarter. I think you also mentioned the NBA deal begins negotiations in 4Q as well, and I recognize there's still some moving parts. But looking broadly at sports rights and what I guess has been happening with the ATP deal that you're now taking over, how does the potential structure and cost of this transaction form your expectations for rights going forward? And what gives you confidence in the -- I think you cited 24% of revenue.
Carsten Koerl: Stephen, Carsten here. As you see in our reporting, the increase of the sport rights cost is decreasing from 2022 to 2023. We think that's a positive trend. We always said that the NBA will kick in, in quarter four. We did this in the September our quarter release in 2022. And we gave a remark on this. So that should be not a surprise. We only want to mention it. How is that developing? If you ask specifically about the ATP deal, which is now subject to a short and long-form agreement, but we have been selected partly in the tender process. That's a different deal here. So that's not a buyout deal. The majority of this deal is commission based. So we get a commission for reselling the Live Data of the ATP to the bookmakers. And we give a share of some products which we develop together with the ATP. So from this perspective, it should not have a negative impact on the margins. The opposite is the case. And as you know for every of our right deals we are looking over the full term of the deal. On the beginning it's always more difficult. We need to get it into the market. And the second half of the deals they are generally always more profitable. But the general assumption is always, if we are closing a deal -- a bigger deal, we want to deliver in the range of our target margin. We don't want to do deals which are diluting our earnings profile. Does that answer the question?
Stephen Grambling: Yes. Maybe a quick follow-up, so it sounds like the commission structure is just a bit more unique to the ATP deal. Is that something that you would pursue going forward? And could that actually smooth out the kind of upfront costs and then latter having higher margins?
Carsten Koerl: It's always depending on the partner. So the ATP has a strong wish, saying, there is a heritage for them that they're interacting on the data piece directly with the market and the bookmakers. And there was a strong indication that they said, we want to continue with this. They said not absolutely that it must be in this way, but they had a strong preference to do it. So I would say to answer your question, it depends very much on the sports partner, what do they want to achieve and how can we help them to be more successful. At the end, the challenge and the opportunity for us is all the leagues around the world, the bigger they get they want to have more impact on the consumer. Sportradar can help you enormously with its technology and the leverage in the market and the success which we have in both, betting and media markets and to clients in there. So it depends really on the partner, but that was the vision of ATP.
Stephen Grambling: Fair enough. That's helpful. Thanks so much.
Carsten Koerl: Thanks.
Operator: I would now like to turn the conference back to the company's CEO, for closing remarks.
Carsten Koerl: We remain confident about our position as a global leader in the industry. Based on the global market opportunity and our products strength we succeed in growing our market position in the space with significantly better potential growth, while growing our adjusted EBITDA and delivering positive cash flow. 2022 was another successful year in our trading of long-term profitable growth. And we believe 2023 will be an even more exciting year as we continue to transform this industry and long-term delivery, sustainable value for you our shareholders. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.